Jarmo Salonen: Ladies and gentlemen, welcome to this conference call on Sampo Group's First Quarter 2021 results. This is Jarmo Salonen, Head of Investor Relations. And with me here in Helsinki, I have our Group CEO, Torbjorn Magnusson; and in Stockholm, we have Group CFO, Knut-Arne Alsaker; and Chief of Strategy, Ricard Wennerklint; and in Oslo, Morten Thorsrud. We'll start, as always, with Torbjorn's presentation, after which, we will take your questions. Please let me remind you that the recorded version of this call will be later will available at the same address, sampo.com/result. And that I think is all from me. I'll hand over to Torbjorn. Torbjorn, please.
Torbjorn Magnusson: Thank you, Jarmo, and good afternoon, everyone. I have a very satisfactory set of figures to present today and even more so considering that they have -- so that they, to a large degree, arise from sustainable business trends and from rational markets. Our Q1 profits before taxes are up to EUR 632 million, and the comparison period is, of course, one where the stock markets were in a completely different place than today. Nevertheless, both the EUR 0.82 per share reported earnings and the EUR 1.39 mark-to-market earnings this year are amongst the highest in Sampo's history. It is especially pleasing to be able to report consistent progress in all our operations. The core of our results is, of course, the P&C underwriting result, which, even when excluding the COVID-19 effects, clearly meets our growth targets. Similarly the combined ratio for If P&C is well below our ceiling of 85%, with a higher COVID-19 effect than last year, but on the other hand, also with a higher negative winter effect. Spending a little bit more time on P&C. The strategic progress follows our plans and the results this quarter are excellent. We continue to be able to increase rates selectively when needed, which is mainly for the corporate segments. Markets are rational, and we have not seen any new entrants for some time after the failure of the group, mainly Norwegian ones, a few years ago. We estimate the positive effect of the pandemic to be roughly 3 percentage points on the combined ratio and the mainly Norwegian winter this time to make up 2 percentage points in the opposite direction compared to last year. Large claims were close to normal. On the next page here, we have a simple waterfall chart showing the main differences compared to last year. From the bars on the right-hand side, you can also deduce the obvious, that the remaining needs for rate increases are more pronounced for corporate lines and more for Norway than the other countries. Maybe the main conclusion, though, is that we see rational markets receiving these rate changes. And of course, that having a large book in Norway, relatively speaking, at the moment, helps growth numbers. The next slide is an attempt to follow the effects of the pandemic on motor insurance in the Nordic countries with our mixed geographies. This is no exact science but we are trying to be transparent about the types of facts we're using for our estimates. In our outlook for If P&C for the rest of the year, we're assuming that the pandemic effects on the motor frequencies will fade during the second quarter and that the second half of the year will be back to normal. As you can see from this page, we still have healthy growth from our operations in Sweden and Norway, and this is all the more satisfactory as it arises to a large degree from our digital channels. Also the general digital interaction with our customers is increasing, and roughly 1/4 of our private lines policies are now sold online, making this one of our biggest channels, together with the call centers and the car industry collaborations. If P&C writes 1/5 of its business in Finland, where GDP and growth has been very low for a few years, only partly due to COVID-19 then. Rates increases also have been very low, and more of the insurances are renewed 1/1 than the other countries. So we continue to see healthy growth in Scandinavia then, especially in the digital channels, as I mentioned. Another way to look at the same thing possibly is customer satisfaction and retention. On the left-hand side, this graph, customer satisfaction, shows that this has been increasing during the pandemic. And on the right-hand side, the less emotional retention numbers have been stable at a very high level. Then to our new friends at Hastings. Since we mainly write motor insurance there, the cover effect is substantial. But even adjusting for that, we're handsomely meeting our targets for the operational ratio. Live customer policies are stable. The market is quite competitive now. We're growing in home insurance. And we have rapid progress in the strategic work both internally in Hastings as well as the synergy work within our group. The synergies in claims management, in digital pricing and in fraud prevention, work are higher than we expected when we started this process. Finally, both the underwriting profits and investment returns have translated into very strong solvency position and our leverage also meets our target of being below 30%. As you are all aware, the Board is proposing a EUR 1.70 dividend to the AGM in 2 weeks' time. And to make sure that we don't overstate our numbers, we have accrued a quarter of that in the solvency calculation on the left-hand side here also for next year. All-in-all, a quarter that contains very few technical market or strategic surprises and shows a lot of strength for the future. And with that, I pause and open up for questions. Jarmo?
Jarmo Salonen: Thank you, Torbjorn. And operator, we are ready for the questions, please.
Operator: [Operator Instructions] Our first question comes from the line of Jakob Brink from Nordea.
Jakob Brink: The first question, Torbjorn, I know you said and I agree that it's not an exact science with the COVID impact, so I fully acknowledge that. But still looking at Topdanmark, it was 1.4 percentage points in the quarter, Tryg 1.3%, Gjensidige is 1.9%, with, with Sweden only 0.5%. So -- and I see your calculations, but of course, if the other ones are right, then, of course, you're understating the underlying profitability of If this time. So could you see anywhere, where maybe you could be more cautious or where you might have been adding too much to the COVID impact this quarter?
Torbjorn Magnusson: The non-humble answer would be, no, of course. But the -- this is not an exact science. There are differences between the companies. We write quite a lot of motor business, not least in Sweden where the effects have been quite pronounced. So a proportion of business in different countries is one thing that will differ. And that we -- this is certainly a very honest attempt from us to show the correct number as far as it's possible.
Jakob Brink: Fair enough. Yes. On a different question on the discounting and impact of discounting. I see that the impact of higher rates in Sweden was EUR 170 million in the quarter, you had a 26 basis point change. So basically, looking at your historical impact of rate changes, it seems to be somewhat larger typically than it has been this time. Is there any reason for that, or is it just -- yes, it's just a different sensitivity than it used to be.
Torbjorn Magnusson: Knut, do you have an answer to that?
Knut-Arne Alsaker: Yes. There's no changes in our modeling in Sweden. One of the reasons why these sensitivities vary a bit now and rates tick upwards is that the nominal rate for the discounting has been floored at 0, while the inflation, of course, have been adjusted to inflation environment at any time. But the nominal rates have been floored at 0. So you don't -- you get some asymmetry in the discounting when rates now tick up from the very low level where parts of the curve has been below 0 if you look at the actual market rates.
Jakob Brink: Okay. But that probably explains it. And then my last part of the question is actually a few questions in one, but about Hastings. So for the first time now, you gave us a quarter number. The EUR 108 million net earned premium seems a bit low compared to the full year premiums of last year of Hastings. Could you maybe give us some more detail? Is Q1 always lower than the rest of the year? Or is this the new run rate? Secondly, other revenue seems to be quite high compared to the sort of old level of other revenues in Hastings, is that also the new level? And then finally, I was listening to the direct line call earlier today and they were talking about market average price reductions of around 8%. On motor [ph], what's been the decline for Hastings in Q1, please?
Torbjorn Magnusson: Knut, the first 2 I think we should see as technical questions probably. And then the -- and then let me just comment that the decline 8% is probably more than we've seen from a number of other insurers in the UK?
Knut-Arne Alsaker: Yes. If I understood you correctly, Jakob, whether or not the split between underwriting and retail income, this quarter was a new normal level. Was that your question?
Jakob Brink: I'm basically just trying, for my modeling, to understand what is the run rate of premiums and other revenues in Hastings? So as I said, I think the premium income in the Q1 was somewhat lower than I had expected, looking at full year numbers of Hastings historically. And the other revenues were somewhat higher than I would have expected given the history of -- so is there some -- have you moved some income from one line to the other? Or is this the new run rate levels?
Knut-Arne Alsaker: Yes. That particular split is not accounting technicalities. I mean, obviously, with your reference to sort of the direct line call, GDP as such, for motor insurance in the U.K. has probably been lower this quarter than in a normal quarter. So that's one explanation. Then Hastings is, of course, doing smart decisions to optimize and maximize profitability on a customer basis. Whether or not that income on individual customers is coming from underwriting technical income derived by premiums or from retail income is not the first port of call. It's the totality that matters. That's also why we have for Hastings a combined operating ratio target, which includes both those type of revenue streams, both from the insurance company and from the retail division.
Operator: Our next question comes from the line of Blair Stewart from Bank of America.
Blair Stewart: I've got a couple of questions. I wonder if Knut-Arne, whether you might be able to give us an update on the impact on capital requirements as you exit the noninsurance businesses. I think at the Capital Markets Day, you said that EUR 5.7 billion of capital requirements went down to EUR 4 billion. Things have moved along. I know the capital requirements overall have gone up with markets. So maybe an update on that calculation would be very helpful. Similarly, going back to slide, the now famous Slide 35 of the Capital Markets Day, where you talked about the EUR 5 to EUR 6 per share of excess capital. Again, I wonder, given the various movements, particularly in the market value of Nordea, whether you could provide an update to that number that would be great. And finally, just on the Hastings question. I suspect you may not have the answer to this or may not be willing to give the answer to this, but I just wonder what was the impact on the premium figure year-on-year, what was the year-on-year movement in premiums? And how are you able to quantify the impact of COVID rather than just significant? So I guess the question there to the latter part is how far away from your target operating ratio are you in underlying terms, good or bad?
Knut-Arne Alsaker: Let's see if I start with the first 2, I guess, Torbjorn, you can take the last. But on the capital requirement layer, it's roughly the same number given that what we talked about was a pro forma situation, where we have reduced the market risk from the Nordea and the PE portfolio and basically are left with our insurance operations. And capital requirements for our insurance business has not significantly changed. There's also always, of course, a little bit of volatility on a quarterly basis. But with a nice round number of EUR 4 billion, I would still call that EUR 4 billion. Obviously, what has changed and will change and could go up and down is excess capital in a situation where we monetize own funds from Nordea in one shape or form. And when the market value of those assets are going up, that monetization will also lead to approximately a similar increase in the excess capital because, right, we're still left with the same capital requirements. Meaning, again, that when looking at the indication of how much capital do we need to retain for use of solvency purposes, we gave a range of 40% to 50%. That range still holds, but it's more closer to 40% than 50% now compared to the end of 2020.
Blair Stewart: Great. I think just looking at Nordea, that EUR 5 to EUR 6 per share has gone up by around 2 or a bit more than 2.
Knut-Arne Alsaker: That would be an approximate correct number, yes.
Torbjorn Magnusson: Maybe then to just reason a bit around Hastings. Adjusting for COVID-19, I said in my introduction that they are well below their operating combined ratio target of 88%. The number of policies is roughly constant, slightly up. Rates are down this quarter and the end of last quarter in the UK market. However, there are now mixed signals in the U.K. market about where rates are going for the rest of the year when we all expect the grown FX to fade. So that's probably as good as guidance that I can give you for where Hastings is going at this point in time.
Blair Stewart: No, that's excellent. Torbjorn, just while I've got you and to save see me coming back, I wonder if I may ask you a question with your Nordea hat on. Come September, when the dividend ban is expected to be listed. Is it your expectation that, that would also allow companies to start to reduce excess capital through additional capital returns over and above dividends? Is that a fair assumption?
Torbjorn Magnusson: Nordea has stated publicly, which is, of course, the only thing that I can say here, that they intend to apply to use dividend -- sorry, to use buybacks. But that -- there are no indications from the ECB that I'm aware of on this, nor is there any application yet from Nordea.
Operator: Our next question comes from the line of Jon Denham from Morgan Stanley.
Jon Denham: First, I think the Nordea lockup ends at the end of this week. Are there any reasons why you wouldn't look to do another block shortly after? And maybe more broadly, how do you think about the scope to outperform the 18-month time horizon you set out at the CMD given the current market conditions? Secondly, you spoke a bit about the increase in excess capital as a result of your Nordea estate going up in value. Should we expect all of that to be returned to shareholders? Or would you expect to do more reducing leverage or the M&A front? And then just finally, you've had a bit more of an appetite for industrial business than peers for a couple of years now. And I think you previously mentioned substantial rate increases in industrial at Jan 1. However, the premium growth was pretty low in 1Q. I was just wondering what was driving that and what the outlook is for the business?
Torbjorn Magnusson: I think I'll start with the one that I can answer and that's the appetite for industrial business. First of all, remember that even though the Nordic market for industrial business is nothing like the U.K. or the U.S. market, industrial business for us is companies with more than 500 employees, which is really SMEs in U.K. terminology. But we are a much bigger player in that market than most -- than Tryg or Gjensidige or other, indeed the neutrals. So our appetite hasn't increased, but the rates have and that's very helpful, of course. And we have been able to increase rates along the lines that we needed to and wanted. Last year, at the beginning of last year, we wrote a number of policies on project insurance, where the gross written premium as we publish is a multiyear premium. So from an earned perspective, the growth last year was slightly overstated and this year understated, because in the gross written premium, we don't get any premiums from those project insurances from last year. So that's that. And then when it comes to exactly what and when is going to happen with our Nordea stake. Of course, our Board -- and this is the only answer I can give you, our Board will constantly evaluate the opportunities that we have to realize the strategy statement that we made in February to materially reduce the holding within 18 months, so. And you also stated what are we going to -- asked what we're going to use the proceeds for. And we could use them for -- in theory, we could use them for dividends or giving back money to shareholders. We can use them for bolt-on acquisitions as we have limited ourselves to, or to reduce debt or any combination of those. And that will, of course, also be a part of the Board's deliberations. And that is as much as I can say. I think Knut, do you wish to add anything to that?
Knut-Arne Alsaker: That was a good summary, Torbjorn. And the only thing I would that is, of course, we're still sticking to our balance sheet targets, which we gave at the CMD as well to have a solvency range between 170% and 190% and a leverage below 30%.
Operator: Our next question comes from the line of Michael Huttner from Berenberg.
Michael Huttner: I had a lot of questions, but -- apologies, I should say. [ They're too late, but just say ]. On the -- you mentioned quite proudly the 61% customer satisfaction. I just wondered how does this compare to Alianz's. You've got 75% NPS. It feels like you measure it on a different basis, but I'm not quite sure, so I'm just asking whether you're figure is better in quality than what your peers use. And on the Mandatum, so the reorganization, it feels like Mandatum is more of a mini holding company now. It is a holding company. And it feels like you're almost ready to sell it. In the same way that they've been stories in the market, and I think [ TOPCO ] has confirmed that they're open for offers or some kind of stuff for their life business. Is that part of your thinking? Then on the combined ratio, you improved the target ranges, it's fabulous. It feels like -- yes, unlike my expectations last year when I thought the discipline would change. The discipline is as wonderful as ever. This 82% to 84% target range, should we -- is it -- would it be okay to kind of think, well, this is something you could sustain over many years, not just this year? And then 3 very little questions on Hastings. One is the 75%, do you have a comparative for Q1 last year? It's just a question. Then I think there's an incentive payment, which probably is EUR 18 million or EUR 19 million. And I just wondered, is this -- what is this for? I mean just for Hastings, what is the incentive for? And then the final question, and you'll probably say that I can't answer that. If it is a cash return, is there a preferencing of -- among your shareholders on how it is done, whether it is cash or, I mean, like a special dividend or a buyback? Sorry for those many questions.
Torbjorn Magnusson: Customer satisfaction is certainly not standardized between companies. So it's difficult to compare, but the time series within each company is important. Morten, you probably have more to say on this.
Morten Thorsrud: Yes. No, that's correct, Torbjorn. This is actually why we have been a bit reluctant to sort of start publishing this type of numbers, but there's been clearly an interest in this. Customer satisfaction, you cannot compare it between companies. There are large variations on how you do this, what questions you ask, what type of scale you use. This is a Net Promoter Score, so it also depends on what you actually classify as promoters and detractors. It depends on whether you do it on per transaction or relationship. It depends on whether you do it on claims or touch points. So there is a myriad of different ways of doing this. So I think the only thing that makes sense is to look at the development of each and every company. And I think what we've seen sort of within If is a very good development now over quite a period, where we see that customers become more satisfied throughout all touch points. And perhaps then I can also comment on the combined ratio, the 82% to 84% is the current outlook for this year. And you asked, is this sustainable? Well, our long-term target is to be below 85%, so for our 3-year target. So then, of course, that is of the level, below 85%, where we expect to be.
Torbjorn Magnusson: Thank you, Morten. Mandatum maybe, just to say that it's a company that performs really well, even in -- a little bit to my surprise, even in the pandemic times, the sales have been good. The unit-linked and wealth management business is increasing. The assets under management, investment returns have been excellent. Solvency margin is high, and this company will support dividend ability going forward. So if I haven't been positive enough of Mandatum, I promise to change.
Michael Huttner: And if I may, and this is a -- you might say this is out of place, but you have an excellent opportunity to be even more positive by using that same [indiscernible] that went around the world and that [indiscernible].
Torbjorn Magnusson: I'll take that as an input. And then the Hastings questions, I didn't actually catch all of them. But now we haven't got a Q1 number for 75%. We've got a lot of new other things in report this time and we haven't produced that. And the other, of course, the other companies in the UK only produce trading updates in Q1. What was the other question?
Michael Huttner: There's an incentive payment. I didn't -- which -- I can't remember where it was cited, it's either EUR 18 million or EUR 19 million. And I was surprised because you just bought it, so I couldn't understand how management could have so quickly delivered and be paid so quickly.
Torbjorn Magnusson: Can we try to take this off line?
Michael Huttner: Sure.
Torbjorn Magnusson: Neither of us here can see what you're referring to. We'll try to find it and come back to you.
Michael Huttner: Yes, always. And the cash return?
Torbjorn Magnusson: And then there's no simple answer to your -- there's no simple answer to, yes, everyone wants a cash return or, yes, everyone wants buybacks or anything like this.
Knut-Arne Alsaker: There is EUR 19 million remuneration in the first quarter, but that is not Hastings only, that's the group. But a large part of it is from Hastings.
Operator: Our next question comes from the line of Per Grønborg from SEB.
Per Grønborg: Two questions from my side. First, turning to the commercial line, where clearly your growth is more muted this year than it was last year. What have you done in the renewal on pricing? And what sort of retention are you seeing? In this context, talk to a player like Tryg, you have the perception that, yes, they're hiking prices are not, but the outflow of clients are also visible. Are there new players coming in, taking these clients? Or how do you see the trends in the commercial market or in the industrial market, sorry?
Torbjorn Magnusson: That's an easy one. So Morten, you can have it.
Morten Thorsrud: Yes. Well, the commercial lines we do see quite large price increases in certain part of that segment, sort of in Norway, in particular, in commercial lines. And then basically throughout the Board on the large corporates, what we call then industrial. Retention is fairly stable. Then the explanation by the somewhat low growth on commercial stems from the development in Finland, in particular. Workers comp market there is actually shrinking a bit due to low employment in Finland and as a result of the pandemic. All of that business is basically renewed first of first. And since we report on gross written premium, you get all of that effect then on the Q1 result for Finland and affecting commercial in particular. And so that's the main explanation for sort of the 0.6 growth on commercial.
Per Grønborg: This points to also the -- what was addressed earlier about single project contracts with multiyear premiums from last year. This indicates that earned premiums should actually continue to grow reasonably okay this year in this segment. Is that fair to assume?
Morten Thorsrud: Yes, we are one of the few that we report on gross written premium, most other players report on some form of gross premium earned. And of course, the good thing in gross written premium is that you get a bit more fresh figures, so to speak, but you also get a bit more volatility in the top line then. So yes, project insurance, for instance, would, of course, be earned over a number of years. So you'll have more stability on their own figures, for sure.
Knut-Arne Alsaker: Going back to my initial statements on growth, I'm pleased with the progress that we have. And there are some technical things that make the Q1 number look a bit more subdued than it really is. We have good growth. In Scandinavia, we have good growth in the right channels. And that's the main conclusion here.
Per Grønborg: Okay, perfect. My second question, when I look at your mark-to-mark bond return. In a world where most bond funds have yielded negative returns in Q1, you seem to have been able to generate quite solid positive returns. Of course, you have been good, but can you add some more color to it?
Torbjorn Magnusson: Do you want to try, Knut?
Knut-Arne Alsaker: No. Maybe we have been good payer. We're trying our best but of course, in an environment where interest rates tick up a bit, of course, it's beneficial for us, at least compared to some other -- I'm not sure if you compare us to, to have shorter duration, then we have a possibility to reinvest at a slightly higher running yield. And obviously on the mark-to-market basis, get less sort of negative impact from the higher rates. Let's see how that develops and those possibilities to reinvest at higher rates continue going forward. But that might be one of the differences compared to others with somewhat longer duration in their bond portfolio.
Per Grønborg: The impact you addressed from discounting rate on Slide 104, is that any way influencing your investment income? Or where does that pop up in your P&L?
Knut-Arne Alsaker: Slide 104.
Per Grønborg: I got all the way to the back of the slide deck.
Knut-Arne Alsaker: Yes, yes, yes. My apologies, I just had to see what you referred to. That would be a part of prior year gains and losses in the claims ratio.
Operator: Our next question comes from the line of Steven Haywood from HSBC.
Steven Haywood: Just looking at your -- for If P&C, the underlying claims ratio. I think if you look at Slide 6, you can work out that potentially the underlying claim ratio is about 1 percentage points better than last year. But could you tell us if this is maybe due to a considerable amount of luck? Or is it due to risk selection? Or is the 1 percentage point underlying improvement even higher than the first quarter 2020? This is on a normalized basis, excluding the additional impacts of COVID and weather, large losses, et cetera.
Torbjorn Magnusson: The simple answer is some small rate increases on average. But 1% is a small number in non-life insurance. Morten, do you want to give some more color?
Morten Thorsrud: No, I think that's correct. It's -- I mean first of all, you know that we don't really like the term of underlying sort of improvement. There's so many sort of effects going in all directions. But if you do the simple calculation, yes, I mean maybe that would be roughly right, sort of that we do see an improvement. It's mainly, of course, pricing slightly above inflation in certain segments. Of course, risk selection always being important. But again, it's -- these things are more important and relevant to look at over long term. Not always that meaningful to calculate the underlying improvement sort of quarter-by-quarter. But we did definitely see strong development in our portfolio and good profitability in all parts of our book of business.
Torbjorn Magnusson: And Morten, maybe to add one piece of information voluntarily. There's no major segment where we see difficulties in increasing prices in parallel with inflation or in excess of claims inflation at the moment, is there?
Morten Thorsrud: No. We are satisfied with the underlying profitability that we have in all business areas, all geographies. There are only small adjustments here and there. So quite a good situation.
Steven Haywood: Okay. That was very helpful. And then if you're not liking the underlying terms ratio, that you may not like my next couple of questions. You're obviously now disclosing your large claims above expectations. But can you tell me what your yearly expectation of large claims is? Can give me a nominal amount or even a percentage of the combined ratio? And maybe the same for the weather claims, can you give your estimated normalized expectations in a nominal amount again?
Torbjorn Magnusson: We could, but it wouldn't be helpful because we changed it as the portfolio changes and the exposure changes. So we would have to update that all the time, and you wouldn't be able to use it.
Steven Haywood: Okay. No, I appreciate that. And just a final question from me on the solvency. You've provided 189% Solvency II ratio, but you also provided one that is accruing the dividend of 186%. And I think that is probably a more appropriate ratio to use. But can you just clarify what level you're accruing the dividend at, is at 70% [ph] payout ratio?
Torbjorn Magnusson: In that number, there is small asterisk that kind of says, I think, EUR 1.70 is used also for this year, just to pick a number, so that you know what we're doing. There's no indication that the dividend will be EUR 1.70, but that's the number that has been used in that particular graph.
Knut-Arne Alsaker: It's the quarter of last year's dividend.
Operator: Our next question comes from the line of Jan Erik Gjerland from ABG.
Jan Erik Gjerland: Yes. It's Jan Erik from ABG here. Just a couple of questions as well. Since you can't talk too much about your Nordea position, could you just remind us about your tax situation below and above the 10% threshold, which you talked about at the Capital Markets Day? Has there been any changes to that? Or how should we look on that when you're thinking about taking your position down?
Torbjorn Magnusson: Knut?
Knut-Arne Alsaker: No, there's no changes compared to what we have described before. And just to remind what that is, it's treated as a so-called fixed asset as long as we are above 10% holding and we've owned it for so strong as we have, meaning that any sales gains or losses will be tax exempt, and also dividends from Nordea tax exempt. And consolidated profit, we consolidate on a net basis. So that's also not a part of our tax line in the P&L. Then if we go below 10%, there will be a similar treatment for 12 months, meaning that if we have any shareholding after 12 months of dropping below 10%, then that will be subject to tax -- both in terms of realized gains and any direct investment income, meaning dividend received.
Jan Erik Gjerland: Perfect. That's very clear. Secondly, Morten, could you just elaborate a little bit of this premium growth potential above inflation. Is it so that you try to price above inflation to improve your book? Or is it so that you are happy with your current pricing and just tried to price according to inflation currently?
Morten Thorsrud: Yes. What we do is that we always look forward. And try to estimate how we look upon the future sort of claims development, severity, inflation and so forth. And price then according to what we need in order to reach our financial targets. That sort of -- if the risk doesn't change, then, of course -- and they don't need to improve the combined ratio, then you would price basically according to expected inflation development. Then you might have certain books of business where you need to do slightly more than that. Currently, as I said, sort of I think we have a good underlying profitability in our -- all of our business areas and all of the different countries. So broadly speaking, there is not many areas where we need to price for more than inflation. The exception to this has been and still partially continue to be commercial lines and industrial lines, in particular in Norway. But yes, it's -- again, the price according to expected future risk development, including inflation compared to our financial targets. I don't if that.
Jan Erik Gjerland: Okay. No, absolutely. So if you don't have sort of a competitive price, you can actually add business as your competitors are still pricing above inflation in some areas.
Morten Thorsrud: I'm not sure if I got your question there really. But of course, I mean, it's.
Jan Erik Gjerland: Can you gain business now as you are sort of happy with your profitability, as you say, and do not need to improve your combined ratio so much anymore. So you can then gain market share or gain business, even though that is not a near agenda, it is sort of easier to gain business these days because your peers or competitors are pricing still above the expected claims inflation level?
Morten Thorsrud: Well, it all depends on what the peers are actually doing. But always, I mean, we obviously see a situation where we gain market share in certain segments, certain products, certain geographies, and then you might lose market share in other segments very much because of the dynamic, how to predict sort of what's going to happen in terms of development. So -- but of course, I mean, it's -- that is essentially what will drive -- one of the elements that will drive market share development.
Torbjorn Magnusson: That's an internal game, and it also has to do with how strong distribution capacities are in the areas where your pricing is correct or compressive, of course.
Jan Erik Gjerland: Okay. Just 2 typical questions at the end here. Your funding cost of EUR 26 million and you expect [ cash rate ] 1.6% to 1.7%. But I couldn't get that back to my [ EUR 16 million, EUR 17 million ]. So just what's the difference between the EUR 26 million reported and the [ EUR 16 million, EUR 17 million ] expectation, so to speak?
Torbjorn Magnusson: Knut?
Knut-Arne Alsaker: For me, I didn't really hear what you were referring to, Jan Erik? I thought you said claims handling costs.
Torbjorn Magnusson: That's a difficult question, Knut, it had to be for you.
Jan Erik Gjerland: It's funding cost in the quarter on the holding company, was EUR 26 million it says in the report. But it also said it was from 1.6% or 1.7% actual cost. So I just couldn't square the equation between both 16, 17 [ph] you're guiding to and EUR 26 million you reported.
Knut-Arne Alsaker: The 1.7%, that's right. That's the average funding cost for the holding company with the debt that the holding company has, and that gives on an annual basis roughly a cost of just about EUR 70 million, let's say, EUR 70 million on an annual basis. So divided that by 4, you have the quarterly number. And then there are -- there are some the derivatives positions, not more as much as we had before, but some derivatives position that makes the financial results in the holding company a little bit higher and a little bit lower from time to time depending on interest rates developments compared to that nominal cost, if you like, of 1.7% average, which I refer to.
Jan Erik Gjerland: Okay. Yes, perfect. No, that's really helping us now. Just finally, just a wish. Thank you so much for your improved disclosure on If. We think that's great. We hope you can do some similar on Hastings because those numbers we cannot square around as much as we can to get better estimates going forward. So that will be highly appreciated.
Torbjorn Magnusson: Thanks, Jan Erik.
Operator: [Operator Instructions] Our next question is the follow-up question from Blair Stewart from Bank of America.
Blair Stewart: Knut-Arne, it's one for you. You commented earlier that you're sticking to your balance sheet targets. And I just wanted to check a clarification on the 170% to 190% solvency ratio target. I think -- and correct me if I'm wrong, I think you said that you will review that as and when you have sold your non-insurance holdings, is that correct? And if so, what would you be looking at in terms of peer group targets, for example, that might be more appropriate for a business that is significantly less risky than it is today.
Knut-Arne Alsaker: Thanks, Blair. We're certainly sticking to 170% and 190%, because we sort of set that target in February and we have currently more or less the same balance sheet. So it makes sense to stick to it. And it also makes sense to review it. When we have materially less market risk. In terms of the peer group, it's -- I wouldn't say that the peer group is the first port of call. What we will base our valuation is then is our risk appetite and what we would like to have in terms of comfort level within that target range. But of course, what I referred to earlier, that if we have material less market risk on our balance sheet compared to today, where we think 170% and 190% is appropriate, it would naturally be so that, that target range would be somewhat lower. Not materially lower, but somewhat lower. How that compares to certain other companies who might have a little bit different balance sheet or a little bit different view of the world, it would be less important.
Blair Stewart: Yes. It makes perfect sense. And I think every 10-point reduction will be about EUR 400 million impact, wouldn't it, based on what you said earlier?
Knut-Arne Alsaker: I speak to my EUR 4 billion there, Blair. So that's easy math.
Blair Stewart: So I'll go in the way into the math on 10% of EUR 4 billion.
Operator: We have a follow-up question from Michael Huttner from Berenberg.
Michael Huttner: And on If dividends, so last year EUR 600 million, I think the year before was slightly more. Can you say what, given the very strong If results, we could expect this year? And then you mentioned inflation. I just wondered if you could say a word about this. It seems such an uptick in the U.S., I know it's very far away. But maybe that's -- and then on Norway industrial risk, I'm actually quite surprised because I thought the rates really jumped really hugely last year. So I'm surprised it's still an issue. Is Norway a very risky country? Do they have different standards or something?
Torbjorn Magnusson: Morten, if you.
Knut-Arne Alsaker: If I start with -- I'm sorry.
Torbjorn Magnusson: Go ahead.
Knut-Arne Alsaker: If I start with the dividend, Michael, you shouldn't expect anything of the If dividend really, that's mine. But you should expect that the insurance dividend of Sampo is progressive going forward, with the starting point of EUR 1.60 per share, which then originates back to all of our insurance businesses, both the non-life businesses and the life business that we have. And, how we fund it with cash flows from various balance sheets that will be our job to do.
Michael Huttner: Makes sense.
Torbjorn Magnusson: And then, Morten, on inflation and Norwegian industrial?
Morten Thorsrud: Yes. In terms of inflation, I was a bit unclear what your question was, Michael, but the inflation in the Nordics typically up towards 3%. Of course, the inflation that is relevant for us is quite different than sort of the consumer price type of index. This is more than inflation in spare parts, labor work sort of related to body shop work at the car industry and so forth. But it's been sort of 2% towards 3%, sort of lately more towards the 3%. And then, the question about repricing in Norway. I think what happened was that we saw in the total Norwegian market, quite a bit of claims development. Yes, 2, 3 years back in time on the commercial segment in particular. And the whole Norwegian industry has been pricing kind of for that then over a couple of years. Then lately, sort of the last -- yes, more or less 2 years, we've seen also a trend in industrial, which is actually more of a global trend, where you see sort of rates for large corporates going up. In particular, within property, more across the board. So that's sort of would be relevant for all of our industrial business, not only in Norway. So I kind of think there is something special about the Norwegian risk landscape now.
Operator: Our next question is a follow-up question from Jakob Brink from Nordea.
Jakob Brink: Just a follow-up here. You've previously mentioned that Sampo is not interested in life insurance outside Finland. Does that include that you're not interested in Topdanmark having a life company? That was my first question. And then on one other sort of more structural thing, Nordax and NOFI, there was an increased bit yesterday. I know you're not going to -- as far as I understand, you're not going to inject more money into this. But could you maybe just give us a bit more detail since, of course, it's maybe a bit contradictory to what you said at the CMD about exiting PE stakes? And then lastly, sorry, Knut, I don't think I've ever heard about that 12 months rule on tax. Could you just repeat so I'm sure I understand?
Torbjorn Magnusson: First of all, life insurance in Topdanmark, they have a wonderful and very efficient and successful life insurance company, which is well integrated with non-life, which is run from the same building with the people in the same place and distribution overlaps and it's all unit-linked. So it's doing well. But we wouldn't expand -- the question has been, would we expand life business? Would we try to integrate life business between the Nordic countries? And the answer to that is still, no, we don't see any synergies at all between life insurance business in different Nordic countries. Nordax, we're not running that, as we've said many times. And so it is not a contradiction. We don't intend to expand that group of investments. And the third question was.
Knut-Arne Alsaker: It was on tax treatment on Nordea.
Jakob Brink: It is with the 12 months rule on -- you just mentioned something with 12 months, I'm not sure I understood that part.
Knut-Arne Alsaker: Well, it's still when we -- if we drop below 10% shareholding in Nordea, that would go for other companies as well if we own more than 10% for a longer period of time. You have a period of 12 months before, let's call it, for simplified purposes, normal taxation of that as related to capital gains treatment and income treatment comes into force, to put it very plainly. Meaning that if we sit on Nordea shares for more than 12 months after we have stopped below 10% in a hypothetical situation, any capital gains we would make after that period would be subject to capital gains tax in Finland and also revenue dividend from Nordea would be subject to tax.
Operator: We have a last question from Jon Denham from Morgan Stanley.
Jon Denham: Just on top, obviously, the solvency increased substantially at 1Q. Well, if not cash, how should we think about the Board's desire to return top solvency to a more normal level via dividends? I'm just thinking from the Sampo side, do you want or do you need the extra cash from the business? And just coming back to Knut's point on the progressive insurance dividend, would it trigger an unwanted step-up in Sampo's progressive insurance dividend? Or would you seek to hold money back at Mandatum or If, for example?
Torbjorn Magnusson: Knut, it is your money. So even though you're not on the Board. Do you wish to...
Knut-Arne Alsaker: Well, I first and foremost wish for any company that we have an interest in to run a prudent balance sheet. And I'm sure the Board of Topdanmark will consider that and the profitability that Topdanmark will generate during this year when they set and propose a dividend to the AGM next year. So obviously, to make changes in solvency calculations, I don't expect that to have been done just because of Sampo's insurance dividend. That probably wasn't thought about at all. So it's not because of that, just be very clear. Then our insurance dividend is, of course linked to the profitability of our insurance operation, how we handle cash management and cash flows within the group, that's a part of our day job. So you should, first and foremost, concentrate on the earnings that our insurance operations generate when thinking progression in the insurance dividend from here. And then, of course, it's progressive. So we need to have a reasonable view on what is the normal profit for the year and what will be a normal profit for next year when setting that insurance dividend. And it's primarily driven to individual cash flows. We have sufficient cash flow potential to fix in the group. It's the earnings that, of course, we need to concentrate on.
Operator: We have one more follow-up question from Jan Erik Gjerland from ABG.
Jan Erik Gjerland: Yes. Just one follow-up on your Nordea stake. Is it so that you are allowed to participate in a direct buyback if that should occur, either by the Board of Nordea? Or is that something you would consider to do if that should be an opportunity, either as the [ sole ] and buy back to you or in a sort of a complete buyback program?
Torbjorn Magnusson: We don't know that yet. And we have heard some from Nordea in the market that they seem to think that, that would be technically possible, but we've had no contact with them. We have not discussed it. As I said, as far as I am aware, Nordea has not applied for any buyback scheme in with the ECB.
Operator: We have no more questions from the line. I will hand it back to our speakers for closing comments.
Jarmo Salonen: Thank you. And thank you all for your attention, and have a great evening.